Operator: Good morning and thank you for joining us for Marine Products Corporation’s Fourth Quarter and Year-End 2012 Earnings Conference Call.  Today’s call will be hosted by Rick Hubbell, President and CEO, and Ben Palmer, Chief Financial Officer.  Also present is Jim Landers, Vice President of Corporate Finance.
 [Operator Instructions] I would like to advise everyone that this conference call is being recorded.
 Jim will get us started by reading the forward-looking disclaimer. 
Jim Landers: Thank you, Candice, and good morning.  Before we get started today, I’d like to remind everyone that we are going to discussing some things that are not historical facts.  Some of the statements that will be made on this call will be forward-looking in nature and reflect a number of known and unknown risks.
 I’d like to refer you to our press release issued today, the 2011 10-K and other SEC filings that outline those risks, all of which are available on our website at www.marineproductscorp.com.
 I also need to tell you that in today’s earnings release and conference call, we’ll be referring to net income excluding other income and diluted earnings per share excluding other income, which are non-GAAP measures of operating performance.
 Marine Products uses these measures because they allow us to measure our operating performance consistently over various time periods.  Our press release and our website provide a reconciliation of net income excluding other income and diluted earnings per share excluding other income to net income and diluted earnings per share, which are the nearest GAAP financial measures.
 Please review that disclosure if you are interested in seeing how we calculate it.  If you haven’t received our press release and would like one, please visit our website, again, at www.marineproductscorp.com for a copy.
 This morning, we’re going to make a few comments about the quarter and then we’ll be available for your questions.  Now, I will turn the call over to our President and CEO, Rick Hubbell. 
Richard Hubbell: Jim, thanks.  We issued our earnings press release for the fourth quarter of 2012 this morning.  Ben Palmer, our CFO, will discuss the financial results in more detail in a moment.
 At this time, I will briefly discuss our operational highlights.  Our net sales increased by 22% during the fourth quarter compared to the fourth quarter of 2011.  Net sales improved because of an increase in the number of boats sold, partially offset by a decrease in the average selling price per boat.
 Both the unit sales increase and the average price -- selling price decrease were due to growth in sales volume of our value-priced H2O and Robalo sport fishing boats.
 Gross profit increased slightly during the quarter, the increase due to higher net sales, but our gross profit as a percentage of net sales was lower in the fourth quarter of 2012 than in 2011.
 Operating profit declined by 43% compared to the prior year, due primarily to higher SG&A expenses.  Our diluted earnings per share were $0.03 for the quarter, a 25% decrease compared to the fourth quarter of 2011 after excluding other income.
 Our continued success with the Chaparral H2O is sustaining our market share gains.  Preliminary reports for the 9 months ending September 30, 2012 indicate Chaparral holds an 11.7% of the 18 to 35 foot stern drive boat market and that we are #3 in this market second -- segment.  A year ago, our market share was 8.3% and we were #4.
 Yesterday, our Board of Birectors voted to increase our regular quarterly dividend from $0.02 per share last quarter to $0.03 this quarter.  With that overview, I will now turn it over to our CFO, Ben Palmer. 
Ben Palmer: Thank you, Rick.  For quarter-ending December 31, 2012, we reported net income of $1.1 million compared to net income, excluding other income, of $1.6 million last year.  Our deluded earnings per share for the quarter were $0.03 compared to deluded earnings per share, excluding other income, of $0.04 in 2011.
 Our unit sales to dealers increased by 31.5% compared to last year.  Unit sales increased throughout our lineup, except for the larger cruisers, with the largest increase in units generated from sales of our value-priced Chaparral H2O and Robalo models ranging in sizes from 18 to 20 feet.
 Rick mentioned our overall market share gains a few minutes ago.  I’d like to emphasize our market share gains in the 18 to 19 foot stern drive segment, where our market share increased from 4% in 2011 to 11.7% in the first 9 months of 2012.
 Average selling prices decreased by 8.6% in the quarter compared to the prior year.  This change in average selling prices was also due to the increased sales of our value-priced smaller size models, which carry lower selling prices than our other models.
 This quarter’s gross profit was $5.5 million, an increase of less than 1% when compared to the fourth quarter of 2011.  Gross margin in the fourth quarter of 2012 was 16.2%, a significant decline compared to 19.7% last year.
 Gross margin declined due to 3 factors.  First, the continued shift in model mix towards the smaller, lower-priced Chaparral H2Os and Robalos; and second, during the fourth quarter of 2012, we were preparing for higher production early in 2013, and as part of this effort, we were hiring and training new employees who were not participating fully in our manufacturing operation.  We expect this investment in the trained workforce will result in more efficiencies during 2013.
 Third, net sales were negatively impacted by delivery delays at year-end due to extended dealer holiday closings.
 Selling, general and administrative expenses increased by 26.6% in the fourth quarter of 2012 compared to the prior year and they were 12.8% of net sales.  These costs increased due to expenses that vary with sales such as our warranty expense, marketing and sales commissions, all of which were slightly offset by lower incentive compensation.
 Also note that SG&A expenses in the prior year included the benefit of a reduction to the warranty reserve to reflect improved claims experience.
 Yes, domestic net sales increased by 29.4% in the fourth quarter of 2012 compared to the fourth quarter of last year.  International sales comprised 17.5% of consolidated net sales in the fourth quarter of ’12, a decrease compared to 22.1% of consolidated net sales last year.
 International sales increased by 3.2% in the fourth quarter of ’12 compared to the fourth quarter of last year.  Sales to our Canadian dealers increased significantly compared to the fourth quarter of last year.  Sales to our Australian dealers increased as well, but sales to dealers in Western Europe declined.
 Interesting income [ph] during the fourth quarter was $272,000, which is a slight increase compared to $256,000 in the fourth quarter of ’11.  Our balance sheet remains strong, and in spite of paying a $0.55 per share special dividend in the fourth quarter of ’12 totaling over $20 million, in addition to our regular $0.02 per share quarterly dividend, we had $38.6 million in cash and marketable securities at the end of 2012.
 Also, because we operated at higher production levels later in 2012, our inventories increased by $3.3 million or 13% compared to last year.
 During the fourth quarter, we repurchased 46,000 shares of our common stock on the open market and we stand ready to continue this effort if market conditions warrant doing so.
 At the end of the fourth quarter, our dealer inventory in units was higher than at the end of the third quarter and the prior year but remain at comfortable levels.  Unit order backlog remains strong.
 We have recently introduced production in 2013 to meet boat show demand and anticipate a dealer and retail demand for the following spring retail selling season.  And now, with that, I’ll turn it back over to Rick for a few closing comments. 
Richard Hubbell: Thank you, Ben.  We are pleased with the success of our new products and the steadily improving selling environment.  We achieved double digit market share in 2012 and we believe this new level of success is sustainable as we continue to develop new products and support our dealers.
 In addition to sales of the value-priced Chaparral H2O and Robalo models, we are seeing some early successes in 2013 with the updated 257 and 277 SSX models, the smaller version of our 327 SSX.
 Early indications in the 2013 winter boat show season have been favorable.  While attendance at specific winter boat shows has fluctuated due to various factors, in general, we are seeing more interested and qualified potential buyers and higher overall unit sales coming from these shows than we generated in 2012.
 During the fourth quarter of 2012, we reached a point in our production scheduling in which we needed to hire and train a fairly substantial number of new employees in order to take advantage of opportunities that we see during the 2013 retail selling season.
 This negatively impacted our gross profit margin in the fourth quarter.  But these proactive steps are a vital part of our strategy to take advantage of profitable growth opportunities.
 I’d like to thank you for joining us this morning and at this time we’ll be happy to take any calls you may have. 
Operator: [Operator Instructions] Your first question comes from the line of Joe Hovorka with Raymond James. 
Joseph Hovorka: Could you give some sense of magnitude of how much the increase of the employee costs in a gross profit number is, the hiring you’re talking about? 
Ben Palmer: In the fourth quarter, it’s a little less than half of that margin decline from the third quarter.  It accounted for about a little less than half of the -- I think it was about a 300 basis point decline. 
Joseph Hovorka: So maybe 150 basis points then, ish? 
Ben Palmer: Or a little less, yes. 
Joseph Hovorka: And what kind of production or however you want to say it, maybe what percent of employees are you increasing?  Is this a 10% increase in your factory employment?  Is it higher? 
Jim Landers: This is Jim. It’s between 10% and 15% on production employees. 
Operator: [Operator Instructions] And there are no further questions in the queue at this time.  I will turn it back to Mr. Landers for closing. 
Jim Landers: Thank you, Candice.  We appreciate the people who called in today and the question and thank you a lot.  Hope everybody has a good day. 
Operator: This does conclude today’s conference.  As a reminder, there will be a replay on the website within 2 hours following the completion of this call.  Thank you and have a great day.  You may now disconnect.